Operator: Ladies and gentlemen to the Merck Investor and Analyst Conference Call for the second quarter of 2022.  I will now hand the call over to Constantin Fest, Head of Investor Relations, who will lead you through the conference. Please go ahead, sir.
Constantin Fest: Dear ladies and gentlemen, a very warm welcome to the Merck Q2 2022 Results Call. My name is Constantin Fest, Head of Investor Relations at Merck. Today, Iâm pleased to be joined by Belen Garijo, Group CEO; as well as Marcus Kuhnert, Group CFO. For the Q&A part of this call, we will also be joined by Matthias Heinzel, CEO of Life Science; Peter Guenter, CEO of Healthcare; as well as Kai Beckmann, CEO of Electronics. In the next couple of minutes, weâd like to guide you through the key slides of this presentation. After that, we are happy to take your questions. Please note, we have reserved about 1 hour for this call, and I would ask to kindly limit you to a maximum of 2 questions per person. This will allow more of you to ask questions in the first place. With this, Iâd like to now directly hand over to Belen to kick off this presentation. Over to you, Belen.
Belen Garijo: Thank you, Constantin, and welcome, everybody, to our Q2 earnings call in this very sunny and very warm day. I am now on the Slide 4 of the presentation and starting with the highlights. Overall, we had delivered a robust second quarter with our Life Science sector once again being the main driver. Organically, the group revenues increased by 6.6% and EBITDA pre rose by 3.2% against tough comparables. Paired with significant currency tailwinds and a small portfolio effect, reported sales and EBITDA pre amounted to â¬5.6 billion and â¬1.8 billion, respectively, while EPS pre of â¬2.64 million were up by 18% year-on-year. As you have noticed, the external operating environment has become even more challenging in the past couple of months. The ongoing pandemic, the geopolitical tensions, the rising inflation and the supply change pressures combined are really challenging our operations. However, in Q2, we once again show great resilience, and we continue to vigorously execute on our strategic priorities. As you have heard, we recently announced a â¬440 million investment in Cork to expand our membrane and filtration capacity and another â¬100 million investment in Wuxi China to accelerate our single-use capabilities. We also opened our new CDMO facility in Verona and broke ground on our new lateral flow facility in Sheboygan, both in Wisconsin in the U.S. The lockdowns in China only moderately affected our Q2 results, and we have seen a strong recovery since the month of June. With regard to concerns around the energy supply in Europe, let me reiterate that our energy intensity is limited and that we have robust mitigation plans in place to remain operational, even in case of a sudden stop of Russian gas supplies. Based on our strong Q2 results and a solid outlook for the remainder of the year, we fully confirm our group guidance for 2022 at the organic level and raised the absolute target corridors for sales, EBITDA pre and EPS pre mainly due to incremental currency tailwinds. In particular, we are now forecasting group net sales in a range of â¬21.9 billion to â¬23 billion, EBITDA pre of â¬6.75 billion to â¬7.25 billion an EPS pre of â¬9.85 to â¬10.75. Weâll give you more details on our assumptions later. So turning to Page 5, you can see our performance by business sector. And as you can see, all the 3 business sectors contributed to solid organic sales growth in Q2. Our main growth engines, that means Process Solutions and Life Science Services, Semiconductor Solutions and the new Healthcare launches known as the BIG 3 are performing strongly and drove 100% of the organic growth in Q2. By business sector, Life Science had another record quarter with sales up by 10% organically, followed by Electronics with 7% and Healthcare with 1%. Please note that for Healthcare, Q2 last year got a onetime benefit around the temporary supply agreement with Eli Lilly, which generated sales of about â¬50 million in North America. Excluding this effect, organic sales growth for Healthcare would have been in the mid-single digits. Also note that Mavenclad returned to sequential growth in Q2. FX provided a significant tailwind across the board, adding over 7% to Group sales and almost 10% to Group EBITDA pre. In addition to that, we had a small positive portfolio effect, stemming from the acquisition of Exelead. Within Life Science, growth was driven by an acceleration of the core business to 16%, which offset the anticipated increase in the COVID headwinds. Also note that we are reporting in line with our new business structure for Life Science for the first time. So, Life Science Services, which is still in a scale-up mode, had the highest growth rate in Q2 at 25% organically. At the same time, Process Solutions remains the largest contributor to growth, up to 12% organically and up to 24% in the non-COVID business. Followed by Science and Lab Solutions, the former research and applied now combined with solid organic growth of 6%. The slight organic sales increase in Healthcare was driven by over 40% growth from recent launches, while the established portfolio was down in the mid-single digits, and this is mainly due to the Eli Lilly effect that I mentioned earlier, the manufacturing of Erbitux. In Electronics, our Semi business was the clear highlight with organic growth of 20%, more than offsetting the decline in Display Solutions, while Surface was slightly up. Regarding earnings now, EBITDA pre came in at â¬1.78 billion, leading to a strong margin of 32%, slightly down year-on-year, mainly due to tough comps in Healthcare and some inflationary pressures in Electronics. However, the margin in Life Science inched up supported by volumes, mix and pricing with EBITDA pre cracking the â¬1 billion mark in a single quarter for the first time. On to Slide #6 for a few remarks on our sales by region. Overall, performance or regional performance was mixed this quarter with double organic growth in Europe, which was the fastest growing region or developed region in Q2 and also double-digit organic growth in LatAm, low to mid-single-digit growth for North America and Asia Pacific and a decline in Middle East and Africa, although the latter was due to timing of a tender business in Healthcare. Also note that growth in Asia Pacific was held back by soft demand in Display Solutions and the lockdowns in China, mainly Life Science and Healthcare. However, we already saw a strong recovery trend in June, as I mentioned before. Strength in Europe was mainly driven by Process as well as the ramp-up of Mavenclad and of Bavencio. Overall, our globally diversified business has shown strength, yet again as individual regional obstacles and external factors are balanced by a strong growth in key markets. With this, let me hand it over to Marcus for additional color on our Q2 results.
Marcus Kuhnert: Thank you, Belen, and welcome also from my side. Iâm now on Slide #8 for an overview of our key figures for the second quarter. Overall, we had a strong Q2 with double-digit growth of sales and earnings. Taking into account significant currency tailwinds as well as a small portfolio effect from the acquisition of Exelead, net sales increased 14.3% to â¬5.568 billion. EBITDA pre was up 13.1% to â¬1.782 billion and EPS pre rose 17.9% to â¬2.64. Operating cash flow came in at â¬852 million, down 4% year-on-year, mainly due to higher working capital as we are also mitigating here inflationary pressures. Net financial debt increased by â¬1.4 billion compared with the end of December primarily driven by the acquisition of Exelead and temporary investment of excess cash. Accordingly, the net debt-to-EBITDA pre ratio slightly increased to 1.6x from 1.4x at the end of last year. Let me also briefly comment on our reported results. So moving on to Slide #9. EBIT increased by â¬128 million in the second quarter in absolute terms. This is â¬78 million less than growth of EBITDA pre, mainly due to a â¬90 million impairment booked in connection with the discontinuation of the berzosertib trial. Financial result improved significantly mainly due to lower LTIP provisions and reduced interest expenses amid ongoing deleveraging. The effective tax rate came in at 22.4%, which is in the lower half of our guidance range. Net income and reported EPS both increased 16%. I want to make a short comment on the treatment of the berzo impairment as we have received a respective question this morning. The berzo impairment is included in EBIT and EPS, but adjusted, so that means not included in EPS pre. In EBITDA pre, it is anyhow not included as all D&A is added back, including impairment write-offs. EPS pre shall provide first and foremost, a meaningful comparison over time. That is why we adjust strongly fluctuating items or use in normalized tax rate. We acknowledge that the write-down of pharma assets is part of our operating model in Healthcare, and when weighing this aspect against the comparability over time, we have years ago introduced a threshold of â¬50 million. All impairments below are not adjusted, thereby affecting EPS pre. Impairments of more than â¬50 million are adjusted. With that, letâs move on to the review by business sector, starting with Life Science on Slide 10. Life Science delivered another strong quarter with sales up 10.4% organically. This is slightly ahead of the growth in Q1 with the mix shifting further towards the core business. In fact, the core business accelerated significantly with organic growth of 16%. This was partly offset by an expected increase of the COVID impact to -6% in the quarter, with absolute COVID sales similar to Q1 and significantly below prior year. From a portfolio perspective, Process Solutions remains the key driver of growth, with sales up 12% organically. Here, the core business increased by 24% mainly driven by Bioprocessing while the COVID impact was -12%. We increased output in bottleneck areas further supported by ongoing productivity gains and ramp-up of new capacities. Order intake declined against tough comps, mainly driven by the COVID business. The book-to-bill ratio was 1 for the quarter, and the order book remains healthy. Life Science Services had the highest organic growth with sales up 25% in Q2. Again, this was mainly due to strong performance of the core business, growing 29% organically, given strong demand and positive phasing in our CDMO business and continuously robust demand for contract testing services. The COVID impact was still moderate at -4%. Science and Lab Solutions for the former combination of Research and Applied had a good quarter, again, with sales up 6.4% organically, supported by positive pricing and growth across all business lines with Lab Water and Biomonitoring even reaching double-digit territory. Core business was up 9% organically, while the COVID impact accelerated to a -3%. Geographically, we recorded double-digit organic growth in all regions, except Asia Pacific, in turn, reflecting lower COVID sales and lockdown effects in China, although activity picked up significantly in June. From a customer perspective, sales to Academia were flat, while all other segments delivered double-digit growth led by Pharma & Biotech. With regard to earnings, EBITDA pre saw to over â¬1 billion for the first time rising 14.5% organically with a record margin of 38%. The plus 70 basis points increase in margin reflects a positive product mix in the core business as well as operating leverage and favorable pricing, partly offset by a lower share of COVID business and ongoing strategic investments. That said, please note that we now expect the Life Science EBITDA pre margin to be roughly flat organically for the full year. Moving on to Healthcare on Slide 11. Here, organic sales growth in Q2 was 1.4% as a - -5% decline in the established portfolio was more than offset by over 40% growth of our recent launches. By franchise, Oncology led to growth with sales up 8% organically. This was driven by ongoing strong ramp-up of Bavencio growing 61% organically partly offset by a 9% decline of Erbitux. However, as already said, please note that Q2 last year benefited from a roughly â¬50 million contribution related to the temporary supply agreement with Eli Lilly. Excluding this effect, Erbitux would have grown above 10% again. Our N&I franchise was slightly down with a -1.2% organic sales decline. Improving momentum of Mavenclad, up 27% year-on-year driven by consistent uptake in year 1 and year 2 patients, not fully offset the higher Rebif decline of -19% in turn mainly related to pressure on the interferon segment. The Fertility franchise was down -3% organically due to tough comps and a modest impact from the lockdowns in China. However, we expect a recovery effect in China in H2 and are encouraged by the strong growth of Pergoveris. Sales in CM&E increased 3% organically supported by strong Euthyrox and Concor performance, while Glucophage was down in the tender phasing in Middle East& Africa. Regarding our pipeline, let me focus on Evobrutinib first. Following the outbreak of the war in Ukraine, we had decided to add extra patients outside of the affected countries. Start-up activities are well on track and the recruitment has recently begun. We work towards our aim of having data in-house by Q4 2023, and of course, we also continue to support our patients affected by the conflict inside and outside of the country. For Xevinapant, we are progressing in launching our second Phase III study, xXray vision in high-risk postoperative patients who are not eligible to receive cisplatin. Zooming out for the broader picture, we are reloading our pipeline with promising early-stage assets with the most recent addition of M9140, our newest anti-CEACAM5 antibody drug conjugate entering Phase I. Regarding earnings, EBITDA pre amounted to â¬604 million, down -9.5% organically with a margin of 31.4%. However, please note that the organic earnings decline was almost entirely related to the absence of the earnings effect from last yearâs supply agreement with Eli Lilly mentioned earlier. In terms of income from active portfolio management, we recorded about â¬20 million in Q2 fully in line with our low double-digit million Euro guidance and about â¬5 million higher than in the year-ago period. With about â¬35 million of income from active portfolio management recorded in the H1, we are already within our unchanged full year guidance range of a low to mid-double-digit Euro million amount. Therefore, you should not expect any meaningful contribution in Q3. Also note that our full year guidance implies better earnings momentum in H2 compared with H1, which has to be seen in the context of much softer comparables. Just think of the Eli Lilly agreement and Bavencio milestones which boosted H1 last year. Turning to Electronics on Slide 12. Electronics delivered strong organic sales growth of 7.4% in Q2. Semiconductor Solutions, which contributes 2/3 to the sector sales meanwhile, remained the key growth engine with sales up by a remarkable 20% organically. This strong performance was fueled by acceleration in semi materials to high growth, supported by increased pricing and growth across all material categories, especially thin films, patterning and spec gases. In addition, we saw ongoing contributions from project business in Delivery Systems & Services. Sales in Display Solutions were down -16% organically, mainly due to a continued decline in liquid crystals which was amplified by a lower utilization at some of our Chinese customers. Surface Solutions was slightly up with organic sales growth of 2% as soft trends in coatings were more than offset by strong growth in cosmetics. EBITDA pre amounted to â¬293 million, growing almost 14% in reported terms amidst strong currency tailwinds, by declining -2% organically given inflationary pressures and a low double-digit million Euro amount of ramp-up costs for capacity. The margin was down 70 basis points year-on-year to 29.4%. Similarly to Healthcare, our full year guidance implies better earnings momentum in H2, however, rather than a comp effect, this is related to mitigating measures for inflation, both pricing and cost kicking in more strongly. Before I hand back to Belen for the outlook, let me also comment on our Balance Sheet and Cash Flow statement. As you can see on Slide 13, our Balance Sheet expanded by â¬3.3 billion compared with the end of December. The main drivers behind this development are business growth FX and actuarial gains amid rising interest rates. On the asset side, cash and cash equivalents are down partially driven by temporary investment of excess cash. Receivables and inventories are up on higher sales, inflationary effects, higher safety stocks and FX, and intangibles are up on FX and the acquisition of Exelead. On the liability side, financial debt is up mainly due to the issuance of new bonds. Pension provisions are down due to actuarial gains, so the rising interest rates and that equity is higher given growth in profit after tax, actuarial gains and positive FX effects. As a result, the equity ratio improved further from 47% at the end of December to 53% at the end of June. Turning to cash flows on Slide #14. Operating cash flow came in at â¬852 million, down â¬36 million year-on-year. Despite higher earnings, this was mainly due to higher working capital for the already mentioned reasons. Apart from business growth, we saw an increase in receivables due to sales phasing in connection with the China lockdowns, while inventories were influenced by inflationary effects as well as higher safety stocks and goods in transit. Cash out for investing activities increased significantly, primarily driven by temporary investments of excess cash. Last but not least, the difference in financing cash flow can be explained by net issuance of financial debt in Q2 this year versus net repayments last year. And with that, let me hand back to Belen for the outlook.
Belen Garijo: Thank you, Marcus. Now on Slide #16. In summary, our Q2 results have been very, very solid. We have shown strength and resilience across our 3 business sectors, in a highly complex external operating environment. Looking ahead, we donât expect these headwinds to ease anytime soon. Nevertheless, we are fully confirming our organic growth ambitions for 2022 and remain firmly committed to our midterm ambition "25 by 25" that is â¬25 billion, as you know, in 2025. Given additional currency tailwinds, we increased our absolute target corridors for the current year. We now expect group net sales for 2022 in a range of â¬21.9 billion to â¬23 billion, EBITDA pre in a range of â¬6.75 billion to â¬7.25 million and EPS pre in a range of â¬9.85 to â¬10.75. This is based on organic sales growth of 6%-9% and organic EBITDA pre growth of 5% to 9% fully aligned with our outlook provided in May. Currency is now expected to provide additional tailwinds of 5%- 8% for sales and 6%- 10% for EBITDA pre, ahead of the 3%- 6% and 4%- 8% that we guided before, mainly due to further strengthening of the U.S. dollar. Also note that we donât see a major risk to our 2022 outlook from potential gas shortages in Europe. For example, in a scenario where we would need to reduce our gas consumption in Europe by 50% and replace this 50/50 with oil and electricity, we would be faced with incremental cost in the low to mid-double-digit million Euro range based on reasonable assumptions for further price increases. Of course, we are also dependent on suppliers who could be challenged by potential gas shortages in Europe. But those indirect effects on us are truly difficult to assess. However, we are in close contact with our suppliers and are in parallel qualifying alternative suppliers to minimize potential indirect effects. Moving to the next slide, to take a look at the sector guidance. We continue to expect organic sales and earnings growth in 2022 to be supported by the all three business sectors. We expect Life Science to be the fastest-growing sector in terms of sales, followed by Electronics and Healthcare. We confirm our organic sales growth guidance for Life Science and continue to see the core business as the main driver of growth. Our COVID assumptions remain unchanged. We are just reflecting to the numbers, the breakdown of the COVID sales is reflecting the new business unit structure. This means we expect COVID sales of up to â¬450 million in Process Solutions, up to â¬250 million in Life Science Services and around â¬100 million in Science and Lab Solutions, making a total of up to â¬700 million as we guided in Q1. Earnings-wise, we have become slightly more optimistic on organic EBITDA pre growth in Life Science, suggesting a roughly flat organic margin development. For Healthcare, we fully confirm our organic growth guidance for both sales and EBITDA pre, with recent launches as the main drivers of growth and the established portfolio staying about stable. In Electronics, we have become slightly more cautious on margins, and this is due to the inflationary pressures but we remain very confident on our strong top line growth, mainly driven by Semiconductor Solutions. And with this, we are going to be very happy to take your questions.
Constantin Fest: Jack, if we could have the first question, please.
Operator:  And weâll hear first from Richard Vosser, JPMorgan.
Richard Vosser: Two, please. Firstly, just on Process Solutions. You referenced very strong 24% underlying growth. What do you see the step-up of growth being related to? Is there any particular modalities? I do not know - diabetes, obesity peptides, biosimilars? And how sustainable do you see that? And do you feel that the order book is now normalized in Process Solutions? And then second question, just on Evobrutinib, I think youâve been monitoring the product for liver enzymes for the whole of your Phase III. Weâve seen some competitors have some drug-induced liver injuries in their programs. So just wondering, youâve seen in your trials to date and how you see that affecting the ultimate profile of the product.
Matthias Heinzel: Richard, itâs Matthias. Indeed, Process Solutions core business was 24%, and itâs across the board, across regions, across modalities. And that is two main drivers. First of all, a really strong demand, strong underlying demand kind of ex COVID and beyond COVID, and secondly, our continued efforts around capacity expansion and capacity relief. So we feel confident about the continued core business growth as COVID kind of continues to decline. With respect to the order book, the order book remains healthy. I think you heard it in the remarks that order intake comes down slightly. And that has also to do with the lead times. As you may recall, over the last quarters, we had really very long lead times and as the lead times through the work around capacity expansions are coming down, we see a bit of a normalization to order patterns from customers. So with that, a little bit of a decline in order intake, but again, the order book remains very strong.
Peter Guenter: Yes, Richard, on Evobrutinib, I think itâs important to clarify some perceptions or even maybe misperceptions that may have been created last week during Sanofiâs earnings call. So perhaps three points, if you allow me. First of all, liver enzyme elevations have been observed with evobrutinib since our well-conducted Phase II placebo-controlled trial. I remind you that all of them were reversible, neither met Hyâs law nor associated with any decompensation of the liver. And as you also know, these elevations typically occurred within the first two to three months after treatment initiation. Number two, letâs talk about data and facts: as the Phase III trials are running, the only source of data regarding liver enzyme elevation is our Phase II trial in RMS that was published in the New England in June 2019. There are several types of events and reporting patterns that needs to be clarified. First are the lab reports of liver enzymes. Each report contains the upper limit of normal. Grade 1 elevations, particularly of ALT, which is considered the most sensitive enzyme, are between 1x and 3x the upper limits and overall considered by regulators as non-clinically meaningful. As you will be able to see in the supplementary appendix of the publication, there are many patients with such elevation and even more on dimethyl fumarate, which I think we all agree is definitely not known to be a hepatotoxic drug. When we look then at grades 2 to 4, i.e., 3x the upper limit or higher, which are considered by regulators of clinical importance, there we see the signal we have been reporting transparently in the past years. This is a mid-single-digit elevation. The second layer of reporting is what the investigator considers as reporting worthy as an adverse event. Here also clear in the Phase II publication, you see a reporting rate of ALT elevations adverse events at a rate of 9% for the 75-milligram BID dose, which is the equivalent one in our Phase III dose, as you know. Now what is important to mention that, in general, liver enzyme elevations in clinical trials are very common. These are usually mild, self-limited elevations that can occur due to a variety of reasons, even following a viral infection, for example. The problem is: how many of these elevations, particularly of higher grades convert to a true life-threatening drug-induced liver injury, which mostly requires hospitalization and supportive care. These, as we understand, were the cases that have led to the partial clinical hold imposed on Tolebrutinib. So, we feel that itâs not really serious to compare between data points that I just commented on. Just to wrap this up, there was also a mention of double-digit rates of discontinuations of evo due to liver enzyme elevations. I guess that the one who made this comment was looking at Table S7 in the publication. In reality, because there is an overlap between different enzyme elevations, the real rates of patient discontinuation due to liver enzymes is 7.4%. There is something important else to remember, the reporting rates as well as the discontinuation rates vary, obviously, according to the monitoring plan and the stopping rules. Or in other words, when you donât take the temperature, you donât find a fever. If Protocol X has a more frequent monitoring plan and stricter stopping rules, then you will have different rates of LFT elevations and also discontinuations. I believe that these were not identical between evo and tole protocols to begin with. Number three, and last but not least, whatâs really important to remember is that Evobrutinib has the most comprehensive data package amongst BTKi inhibitors, supporting its potential for best-in-disease efficacy on relapses, 0.11, I remind you, which is anti-CD20 like versus 0.17 reported by other BTKi inhibitors. Biomarkers of progression and neurodegeneration like NFLs and slowly expanding lesions, where we were the only ones to show an effect. Evobrutinib is the only compound that today managed to demonstrate, not just claim, penetrants into the central nervous system of MS patients. Our well-thought through dose and dosing regimen allows the highest BTKI occupancy as both peak and trough levels and this, we believe, enables the strong efficacy attributes I have just mentioned, on progression and on neuro-degeneration. So at the end, I would like to state that while other company representatives may like to share the interpretation of data related to our pipeline assets, it is ultimately our responsibility to present and explain our own data in a transparent manner. We believe we have done this to date, and we will continue to do so moving forward.
Operator: Weâll now move to our next question, which will come from Matthew Weston with Credit Suisse.
Matthew Weston: If I can take two questions, please. The first is a follow-up on Process Solutions growth. And itâs really about what we should expect going into 2023 for that â¬700 million that still comes from COVID. Iâm sure youâre having detailed conversations with your customers. So it would be interesting to know further along in the year what your expectations are moving forward. But also given the cadence of capacity adds that are coming on, how should we think about the underlying trends going into next year Iâd be very interested. And then the second is a question for Belen. Itâs following up on this issue of gas and oil exposure in Germany. Is there any number that you can give us in terms of a percentage of what Merckâs businesses rely on Germany, the geography? And the reason I ask that is I think of Serono as being Swiss, Sigma in the U.S. Millipore was always France and the U.S. Versum, certainly not German. And is it a misinterpretation that Darmstadt is a critical hub for Merck? Any commentary would be great.
Matthias Heinzel: Yes. Let me start with the Process Solutions question. And just as a reminder, so from now on, we report Process Solutions and Life Science Services separately. But for both of them, obviously, we do see the impact of the continued COVID decline, which is actually in line with our kind of midterm assumption and midterm guidance. And for the combined like PS and LSS together, we had said weâre expecting a low to mid-teens despite a COVID decline over the years, and thatâs exactly what weâre seeing for the next years. And of course, we are in discussion with our customers, but weâre kind of remaining with our guidance for this year up to â¬700 million for PS and weâll see that continue to decline. At the same time, we are confident about our strong core growth.
Belen Garijo: So Matthew, let me give you some context before I go to your question so that you can really get the different dimension of this. So first of all, we are not a very energy-intensive company. Our total energy cost last year, for example, were â¬100 million. This year, we expect energy costs around â¬150 million and further increases next year and this is based on the current pricing environment and the hedges that we have in place. Now as I mentioned during the introduction, we have built solid contingency plans in place should the gas supply from Russia decline or stop. The Darmstadt indeed has the highest gas demand in Europe is also covered by Russia, other European production sites in Germany, Spain, France, Italy and Switzerland have relatively low exposure to the Russian gas. And in the event of challenges in this sourcing, we can permanently switch to alternative energy sources, including oil and electricity, and we have already secured oil reserves at our sites, at our site in Darmstadt in particular. So let me ask Marcus, do you want to say something on the cost side?
Marcus Kuhnert: Yes. So first of all, important to stress again, we can permanently switch to alternative energy sources. This would, of course, lead also to higher cost. In a scenario where we would need to reduce our natural gas consumption in Europe, letâs say, by 50%, and replace this at equal parts, so 50-50 with oil and electricity, we estimate that we would be faced with incremental cost in the low to mid double-digit million euro in 2022 and, letâs say, reasonable assumptions for further price increases assumed in the mid- to high double-digit euro millions in 2023. So given the size of the company, the size of the EBITDA pre, you will notice that this is nothing that will fundamentally alter or have the potential to fundamentally alter our guidance. Of course, we are also dependent on suppliers who in turn depend on gas and could be challenged by potential gas shortages in Europe. But as Belen already said, those indirect effects are extremely difficult to assess.
Belen Garijo: I think the only point I would like to add is that we continue to invest in renewable energy and of course, continuously aim to reduce our dependency on fossil fuels. You may have seen our recent announcement as a proof point of this. We have installed 7,000 new solar panels at our Sheboygan site in Wisconsin that give us enough energy to power the equivalent of 700 homes. So we are converting our operational facilities to alternatives to natural gas anytime we have the opportunity and obviously around the capacity expansions that we are implementing in the manufacturing side.
Operator: Weâll now move to a question from Gary Steventon, BNP Paribas.
Gary Steventon: Firstly, just on bioprocessing. Could you just talk about the profile of the higher growth that youâre seeing in the core non-COVID business. I was wondering here kind of how much of the current growth is being driven by conversion of that historically strong order book, which is coming down versus whatâs being driven by kind of true underlying demand and the incremental capacity just to get a better sense really of the level of the recurring business now. And then secondly, just looking at semis and your exposure here. I guess with the diverging performance weâve seen for some of the semis exposed names over Q2 and then the strong growth that weâve seen from your semi business, it would be helpful if you could just shed a bit more light on your end market exposure in terms of the customer base, consumer, industrial, autos, et cetera. And then also just relative exposure to logic and memory and also leading in trailing edge chips.
Matthias Heinzel: Yes. Thanks for your question. To your question around BioP, I mean, actually, itâs a combination of both. We talked about the slight decrease in order intake to the most part that was related to COVID. Our core business, order intake was actually only slightly down. And with that, the order book remains strong. I should also say thereâs probably a bit of a catch-up effect where now customers in the past, were kind of not high in the priority list given the strong need to support COVID customers thereâs a bit of a catch-up effect. But actually, itâs a combination of both. We do see a continued strong inflow of orders for the core business, while, of course, we need to also serve now those customers, who have been waiting for a long time to get their products. Itâs a combination of both.
Kai Beckmann: Kai Speaking, Gary, I will take the semi question. Our exposure on logic and memory is approximately half-half. So that we are pretty well balanced between these two areas. And as you were asking about kind of the cost driver and exposure to end markets, with the broad portfolio and the broadest and deepest material portfolio in the industry, I think we have a pretty good coverage of all different end markets. And we currently see in logic, there is gradually a shift towards more kind of industrial use of semiconductors away from consumer end markets there, more impacted by current consumer behavior, while it has no impact on the growth pattern overall on our side. Leading edge is driving more of the growth than trailing edge technologies. And this is where we benefit, of course, the most because of more materials complexity and material consumption in leading-edge chips. So thatâs the pattern by and large, for the semi business.
Operator: And next, we will hear from Peter Verdult with Citi.
Peter Verdult: Two questions, just firstly and quickly, Peter, just could you provide us latest dynamics of market shares for MAVENCLAD U.S. and Europe in light of some pretty strong performances from the CD20 players. And then Matthias back to Life Science. I mean with reference to the 15% underlying organic growth. Could you ballpark quantify what the impact from those temporary China lockdowns were? I mean, what does it look like if they had not been in place. Can I just clarify as well that the supply bottlenecks that youâve been talking to the market about for the last sort of two, three quarters, are they now in the rear-view mirror? Or is there any significant supply bottlenecks left to resolve? And then if I could squeeze one in, lastly, just you mentioned in your comments about a fast-growing ADC business and your high potency API. I know you donât go into individual business lines, but if you would at least perhaps just give us a sense, but quantify what the current size of that business is.
Peter Guenter: Peter, Iâll take the MAVENCLAD question first. So as Belen mentioned already in her speech, we are quite satisfied with the performance of Q2 with strong sequential growth of 12% versus the previous quarter. And to your point, Peter and I had mentioned that already in the past is that it is a competitive market, especially in the U.S. with the antiCD20s and we see quite divergent trends for MAVENCLAD in the U.S. and in Europe. So, in order to remind you, I think itâs important to mention that the MAVENCLAD label in the U.S. is more restricted than the one in Europe to the fact in the sense that we donât have a first-line label in the U.S., whereas in Europe, we do have a first-line label. And as a consequence, of course, with high efficacy treatments moving up more and more as a first-line treatment, we continue to gain share in Europe in the high efficacy setting. And we actually see now countries in Europe emerging where we are the leading high-efficacy drug in the overall dynamic high-efficacy market. In the U.S., our share in the high efficacy market is rather stable. But the fact that we do gain leadership in the dynamic high-efficacy oral market, I think, is quite a testimony to our team in the U.S. despite the mentioned label constraints and despite the fact that we canât really compete in the first line. So that gives you a little bit more color of whatâs happening between U.S. and Europe.
Matthias Heinzel: All right. Yes. Let me address your three questions on Life Science. The first one around China. Indeed, from Q1 to Q2, we did see a slight dip in China for the full quarter, especially in the months of April and May and then June, we already saw the uptick as the lockdown was lifted, and we could again ship to our customers. But there was indeed a slight dip. In terms of the bottlenecks, I would say, yes, major improvements. If I look at the lead times for our key products, I mean, at least they were cut by 30% to 50%. I would say we are not in every product category kind of through that, but thereâs a major, major improvement. So I would say for the most part, we have left the biggest challenges behind us. Around then on our Services business, just to give you a high level split in our LSS business, we have about 45%, what we call the testing business and about 55%, which is then our CDMO business. But we are not going further into the details then by product line, ADC, mRNA. All together, they are around 55% of the reported LSS numbers, but obviously on a high-growth path.
Operator: Now moving on to a question from Wimal Kapadia with Bernstein.
Wimal Kapadia: Can I just ask a little bit more about the anti-CEACAM5. I saw that youâve moved into Phase I. One of your competitors is quite advanced in Phase III with data next year. So just curious what gives you confidence to start that trial against that target, given you seem like youâre quite behind. And then Iâd appreciate if you can provide any more color also on that target with CEACAM5 versus TROP2 competition, which seems to be particularly strong in a similar population. And my second question is just on Electronics EBITDA margin, please. So you dropped below 30% EBITDA margin in 2Q, and you flag raw materials, energy, capacity ramp-up, et cetera, as drags, but then youâve got pricing supporting semi. So Iâm just curious how you think about the outlook for these impacts. Should we expect inflationary pressures to accelerate? And how much capacity is there to actually increase semi pricing moving forward?
Peter Guenter: Yes, Wimal. So Iâll take first the question on the anti-CEACAM5. So three points, if you allow me. Number one, this is a new antibody specifically designed against the CEACAM5 antigen with very high target affinity and specificity. So thatâs the first point. The second point, most importantly, is the warhead is a topoisomerase I inhibitor that we use there as a payload. And that actually will lead us to when we select the type of tumor to look for tumors that are resistant to the tubulin toxin, which are actually the ones that are used in the other anti-CEACAM5 antibody drug conjugate that you mentioned. So basically, what we try to do is explore new tumors where indeed we can be first to market with this ADC. And then the third one is, of course, the payload linker itself, which has high potency, good stability in circulation with the new technology. So weâre very excited and very confident with our anti-CEACAM5 and in order not to steal the thunder of our R&D update call, I will stop here, but I can tell you that you will hear much more about it in the R&D update call in November.
Kai Beckmann: Wimal, on the Electronics margin situation. I think just to give you a bit more flavor on this one. There are very different factors. I think you mentioned already the kind of the investment side of things, that is definitely kind of a transitory impact. And as Marcus highlighted, there are investments in capacity, the engineering team that we have built with AD people executing the projects on the investments on future sales growth. That will be more a temporary impact. Then we have a mix effect driven by the headwind that we experienced on the Display side based on kind of a lower utilization at our customers specifically in China. That mix effect leads to a margin impact. And then we have the inflation in 2 different areas. On the semi side, we found good solutions with our customers to kind of manage the impact. On the Display side, however, especially on the liquid crystals side, where kind of the price only knows one direction, there is, of course, very limited space to manage inflationary pressure. By and large, I donât see kind of a long-term impact of that. Itâs more two elements that have definitely a short-term impact primarily. And one area which is an impact that reduces over time since the exposure to liquid crystal is diminishing.
Constantin Fest: Jake, we have time for one more last question, please.
Operator: And that last question will come from Sachin Jain with Bank of America.
Sachin Jain: Just two big picture questions. Firstly, for Belen, I guess, on M&A, with target valuations in some of your target areas, so Life Sciences, biotech having fallen, balance sheet strengthening. Just wondering if youâre beginning to flex your perspectives on larger M&A, which you rolled out to the end of this year. Just any sort of big picture thoughts there? And then second question, I guess, follow on from some prior, given the 24% Process growth in your confidence, Matthias, itâs clearly trending above midterm guide. Just wondering if you have enough confidence to update midterm guide of process, which I think was low to mid-teens CMD in September.
Belen Garijo: Sachin on M&A. We have a very solid organic outlook. So we are not really in a hurry. However, we are permanently screening and scanning opportunities for acceleration of our BIG3, with a focus now on our BIG3. We are definitely not close to entering a phase in which we are a bit bolder in identifying and evaluating those bigger opportunities that may come our way. So we will be able to provide a bit more transparency on M&A during the Capital Markets Day. But obviously, bolt-ons continue, focus on BIG3 and open to bigger things.
Matthias Heinzel: Yes, around Process Solutions and the midterm guidance, which we provided, which was indeed low to mid-teens for PS and at the time of including Life Science Services. And that guidance of low to mid-teens obviously included decline in years from COVID. And we are very much committed and confident to really hit that guidance. And I should also say that at CMD, we are planning obviously then to split that guidance into our new reporting structure. And weâll provide specific guidance then for the new Process Solutions business, but also for the LSS business, which I understand is obviously for the right reasons, a lot of interest. But weâre kind of in this transition mode, I would say, and thatâs why we split kind of core growth to kind of the total business growth in PS because weâre in the transition as COVID comes down, obviously, more and more the core strength is really important. And thatâs what we are showing. But we have clear commitment and confidence on the midterm guidance for PS.
Constantin Fest: Belen, any closing remarks from your side?
Belen Garijo: Very quickly because I know there are other calls that our audience probably have to attend. So we delivered a very robust second quarter. We showed strength. Our business showed strength and resilience in a very challenging operating environment. And we, at the same time, continue to make significant progress on our strategic agenda. We have confirmed our organic growth targets for the year, and we remain firmly committed to our midterm growth ambition. We really look forward to meeting many of you in person at the upcoming meetings and most importantly, at the Capital Markets Day in October 6 here at our headquarters in Darmstadt. So thanks again. Have a great summer and see you in the fall.
Operator: Ladies and gentlemen, thank you for your attendance. This call has concluded. You may now disconnect.